Operator: Good morning. My name is Candice, and I will be your conference call facilitator today. Thank you for standing by, and welcome to the Janus Henderson First Quarter 2023 Results Briefing. All lines have been placed on mute, during a presentation portion of the call to present any background noise. After the speakers’ remarks, there will be a question-and-answer period. In the interest of time, questions will be limited to one initial and one follow-up question. In today's conference, certain matters discussed may constitute forward-looking statements. Actual results could differ materially from the projected in the forward-looking statements due to the number of factors, including, but not limited to, those described in the forward-looking statements. The risk factors section of the company's most recent Form 10-K and other more recent filings made in the SEC. Janus Henderson assumes no obligation to update any forward-looking statements made during this call. Thank you. It is now my pleasure to hand the call over to Ali Dibadj, Chief Executive Officer of Janus Henderson. Mr. Dibadj, please go ahead.
Ali Dibadj: Welcome everyone and thank you for joining us today on Janus Henderson's first quarter 2023 earnings call. I'm Ali Dibadj, I'm joined by our CFO, Roger Thompson. In today's call, I'll start with some thoughts on the quarter before handing it over to Roger to run through the details. After Roger's comments, I'll provide a progress update against our strategic initiatives. And then we'll take your questions following those prepared remarks. Turning to Slide 2. Market conditions have remained volatile and difficult to navigate. Recession fears, higher interest rates, banking sector worries, particularly regional banks and increasing cautious market sentiment have all contributed to an uncertain market environment. Even with this market backdrop, we are pleased to have delivered a good set of results this quarter. Assets under management increased 8% to $310.5 billion due to positive markets, FX and $5.5 billion in net inflows. The quarterly flows are from improvements in all channels. Significant inflows into the institutional channel are the result of the hard work and dedication of teams across the firm, as well as nascent confidence among some of the most sophisticated clients and consultants in the world that our firm is on the right track. Last earnings call, I said that we would expect to deliver intermittent quarters of neutral to positive net flows as an indication that our strategic plan is taking hold, which is what would happen this quarter. And while we are encouraged by the net inflows, one quarter does not make a trend. We are not at a point where we can consistently deliver positive flow results from quarter-to-quarter yet. For example, we need to rebuild our institutional pipeline, which takes time. Our retail flows continue to be negative, and as part of our fuel for growth, there will be pockets of unprofitable AUM that we will look to exit, which will impact flows negatively. Again, there is reason to be encouraged by the efforts of our talented and hard-working Janus Henderson team as manifested by our flow result this quarter, and there's still much work to be done to deliver organic growth over the long-term consistently. We continue to expect one to two quarters of positive flows over the next one to two years. Turning to investment performance. It is solid in aggregate with 70% of assets ahead of benchmark on a three-year basis. It's during difficult times like these when our clients and their clients need our differentiated insights, investment discipline and world-class service the most. We are in a period where money is no longer free and going forward, differentiating between the good companies and bad companies, but has and have-nots will be the key to generating alpha. This is what our world-class investment teams in equities, fixed income, multi-asset, alternatives and more around the world do and it positions us well to deliver the best possible investment outcomes for our clients and their clients. Net-net, our financial results are good. Our strategy is starting to take hold. We have much work to do to become consistent, and we have a strong and stable balance sheet. I'll now turn the call over to Roger to run you through the details of financial results.
Roger Thompson: Thank you, Ali, and thank you again to everyone for joining us on the call today. Turning to Slide 3 in investment performance. Investment performance versus benchmark is solid and improved over Q4 with at least two-thirds of assets beating their prospective benchmarks over all time periods. While we're pleased with the results, which includes the balanced strategy moving back above benchmark on a one-year basis to go along with its strong long-term performance, the one-year fixed income performance still has work to do. Fixed income performance has improved over the first three months of 2023, but the one-year number continues to be impacted by the historically tough year for bonds in 2022. Importantly, the longer term periods remain very strong. Investment performance compared to peers continues to be competitively strong with 70%, 61%, 81% and 90% of AUM in the top two Morningstar quartiles over the one, three, five and 10-year time periods. Slide 4 shows company flows. As Ali mentioned, net inflows were $5.5 billion compared to $11 billion of net outflows last quarter. This is our best quarterly result in quite some time. Although, we're pleased with the results, our goal is to deliver consistent organic growth over time, and we're not there yet. Turning to Slide 5 for a look at flows by client type. Net outflows for the intermediary channel was $700 million compared to $3.4 billion in the fourth quarter. The improvement is attributed to significantly better results in the U.S. whilst EMEA declines compared to the prior quarter. We've told you that U.S. intermediary is a key pillar in our strategy of Protect & Grow, and Ali will give you some more detail and information about that later. This quarter, several strategies were positive, including the AAA CLO ETF, Global Equity Income, our mortgage-backed security ETF, overseas and U.S. mid-cap growth. For U.S. mid-cap growth, we previously told you that performance was strong, and this return to inflows with the first quarter of positive flows since the fourth quarter of 2019. In the EMEA region, a risk off sentiment and higher interest rates are impacting results, particularly in the UK. Institutional net inflows were $6.9 billion. Recall on last quarter's earnings call, I said that we are winning new business in institutional and that I had no new large redemptions to tell you about. The gross sales came from a number of sophisticated institutional investors into several different strategies including $4.1 billion across a range of enhanced index mandates from sovereign clients, 1.7 billion into Australian fixed income from a large global reinsurer and $1 billion into global multi-sector fixed income from another sovereign investor. Reiterating what Ali said, the quarterly fundings represent a meaningful portion of the late-stage pipeline and the team is working to replenish and build a sustainable pipeline, but it will take time. In addition to the strong gross sales, the quarter included unusually low gross redemptions. We’d anticipate a higher redemption rate going forward, all else equal. Finally, net outflows for the self-directed channel, which includes direct and supermarket investors, was $700 million. Slide 6 is flows in the quarter by capability. Equity net inflows in the first quarter were $3.3 billion compared to $7.5 billion of outflows in the prior quarter. As I mentioned on the previous slide, the result includes approximately $4 billion from an institutional funding into enhanced index strategies, which are part of our diversified alternatives capability. This was partially offset by continued but significantly lower equity outflows from our retail channels. Net inflows for fixed income were $3.6 billion compared to $1.9 billion of outflows in the prior quarter. We are encouraged that despite the challenging short-term investment performance in fixed income, we have a breadth of product that is able to capture flows across multiple channels and regions. Several strategies contributed to positive fixed income flows in the institutional channel, including Australian fixed income, global multi-sector fixed income, U.S. buy-maintain credit and multi-asset credits. In the intermediary channel, fixed income ETFs had positive flows of $780 million in the quarter led by the AAA CLO ETF and our mortgage-backed securities ETF. Total net outflows for multi-asset were $800 million driven by the balance strategy within the retail channels. Whilst the net outflow is in part due to 2022 short-term performance, the medium and long-term performance remained very strong and as I said, the one year metric is now back above benchmark adding to its very strong long-term numbers. Finally, net outflows in the alternatives capability were $600 million, primarily from the absolute return strategy in the UK and continental European retail. Moving on to the financials. Slide 7 is the U.S. GAAP statement of income, and on Slide 8 we explain the adjusted financial results. Adjusted revenue decreased 5% compared to the prior quarter, primarily due to lower seasonal performance fees, which were partially offset by higher adjusted management fees. Net management fee margin for the first quarter was 49.8 basis points, which is lower compared to the prior quarter. The decline is due to mix shift resulting from the large institutional wins being at lower fees than our blended fee rate. In the near-term, our success in institutional will impact our blended fee margin, but over time we continue to anticipate a stable net fee margin as we execute our strategy. Compared to the same period a year ago, the net management fee margin increased 0.4 of a basis point, which is counted to the fee rate declines at other peers. First quarter performance fees of negative $15 million are due to U.S. mutual fund fees. Outside of U.S. mutual funds, we have minimal AUM subject to performance fees in the first quarter. For the second quarter, we estimate aggregate performance fees of negative $5 million to negative $10 million. This includes approximately negative $15 million from the U.S. mutual fund performance fees, which are partially offset by other performance fees driven primarily by UK investment trusts. Looking at the full year, all else equal, we estimate aggregate performance fees could range towards the more negative of our current range of negative $35 million to negative $45 million. This includes roughly negative $60 million from U.S. mutual fund performance fees. Clearly the result will be dependent on future performance. Continuing onto expenses. Adjusted operating expenses in the first quarter were $278 million down 1% from the prior quarter. Adjusted LTI was up 17% compared to the prior quarter, largely due to seasonal payroll taxes triggered by annual vestings in the quarter. In the appendix, we provided the usual table on the expected future amortization of existed grants for you to use in your models. The first quarter adjusted comp to revenue ratio was seasonally higher at 50.1%. This higher rate is primarily due to the payroll taxes on annual LTI vestings at the beginning of the year, reset of payroll taxes and retirement contributions in addition to lower performance fees. Adjusted non-comp operating expenses decreased 8% compared to the prior quarter, primarily due to lower G&A expenses, partially offset by the anticipated increase in marketing spend. Lower than anticipated non-compensation cost in the quarter is due to timing of our expenses. Full year 2023 operating expense expectations remain unchanged. They are adjusted compensation ratio in the range of mid-40s, adjusted non-compensation percentage growth of mid to high single digits compared to the prior year, which suggests significant acceleration in our non-compensation costs for the remaining three quarters of the year as we execute our strategy. Lower first quarter non-compensation expenses are temporary as savings realized to provide Fuel for Growth have occurred sooner than the reinvestment in the business. Going forward, we anticipate non-compensation expenses to increase, reflecting areas of opportunity we discussed last quarter, including marketing and advertising in our U.S. intermediary business and investment supporting our other strategic initiatives. Additionally, we expect amortizing previously capitalized costs through the G&A line of our P&L related to the order management system transformation project once the project goes live late in the second quarter. Moving to adjusted operating income for the first quarter, that was $106 million down 14% over the prior quarter. First quarter adjusted operating margin was 27.5%. Finally, adjusted diluted EPS was $0.55. The quarterly EPS benefited from mark-to-market on seed capital and other investments coupled with interest income. Skipping over Slide 9 and moving to Slide 10 and look at our liquidity. Our balance sheet remains very strong during this period of market volatility. Cash and cash equivalents were $830 million as of the 31 of March, which is down from the end of 2022, primarily from the payment of annual variable compensation. The first quarter cash position is typically our lowest given seasonal cash needs. Compared to the same period a year ago, our cash and cash equivalents are 6% higher, reflecting our conservative and purposeful approach to capital management in order to maintain balance sheet flexibility during this uncertain economic environment. We have a strong liquidity position and will continue to balance the capital needs and the investment opportunities of the business with returning capital to shareholders. Based on the ongoing market volatility and opportunities we see in investing in the business organically and inorganically, at this time, we do not anticipate buying back shares via an accretive program in 2023. We’ll continue to return cash to shareholders through a strong quarterly dividend and the Board has declared a $0.39 per share dividend to be paid on the 31 of May to shareholders of record as at the 15th of May. With that, I’d like to turn it back over to Ali to give you an update on our strategic progress.
Ali Dibadj: Thanks, Roger. On Slide 11, we provide an update on some of the progress made during the quarter against our three strategic pillars of Protect & Grow our core businesses, Amplify our strengths not fully leveraged and Diversify where clients give us the right to win. In Protect & Grow, we’ve talked previously about the importance of protecting and growing our U.S. intermediary business. As Roger mentioned, we are encouraged by the early progress in the U.S. intermediary business, including the first quarter flow results. In April, we launched a national and local brand campaign. I know some of you have already seen or heard the advertisements that will span print, digital and other media. Promoting the Janus Henderson brand is something new for us and a change from what we’ve done in the past. The data analyzed tells a compelling story that brand matters. There are a lot of great funds out there, but if the brand isn’t relevant, it’s difficult to capture flows. The national brand campaign will be active through the end of the year and we’re excited by its potential. Additional progress made in U.S. intermediary, includes selectively upgrading the talent and increasing wholesaler client engagement, including the acquisition and use of data. Under Amplify, we’ve talked about our institutional and diversified alternatives businesses before. In the institutional business, we’ve been restructuring coverage to be more aligned to different client types, helping us to better serve their needs through greater specialization. We’ve already made some new appointments and other professionals are joining in the coming months. In diversified alternatives, which includes multi-strategy hedge funds and enhanced index funds, we talked last quarter about a strong pipeline entering 2023. This pipeline translated to double digit percent growth in AUM compared to the fourth quarter of 2022. Now turning to Diversify. We continue to look actively to buy, build or partner. We have a strong pipeline of activity and the current environment is creating opportunities. As I’ve said previously, we will be disciplined in identifying where to buy, build or partner. We want people who are like-minded in terms of culture, investment mindset and client service. Finally, underpinning our strategy are cost savings to provide the Fuel for Growth. We are committed and on track to deliver the $40 million to $45 million of the previously communicated cost savings and have concrete plans to reinvest the savings back into the business on behalf of our clients and their clients. This includes the examples I discussed of the recently launched brand campaign in the U.S., selectively upgrading and adding talent across the firm and better aligning our client coverage. As Roger mentioned, these expenses will accelerate in the coming quarters. In conclusion, I’m proud of the progress manifested this quarter. We delivered positive net flows, solid investment performance, good financial results, and continue to execute on our strategy, including providing the Fuel for Growth to reinvest back into the business. The quarterly flow results, while encouraging is not an inflection point yet and we still have much work to do. We are in the early days of executing our strategic plan and the path to achieving consistent results will not be linear. Our focus continues to be on controlling what we can control to deliver desired outcomes for our clients, shareholders, employees and all our other stakeholders. Let me turn the call back over to the operator to take your questions.
Operator: Thank you. [Operator Instructions] So our first question comes from the line of Mike Brown of KBW. Your line is now open. Please go ahead.
Mike Brown: Great. Thank you for taking my questions. So Ali, you noted that the pipeline of M&A activity is robust here. Can you just contextualize what you’re seeing there? What you’re thinking about from a strategic perspective in terms of opportunities? And how are seller expectations progressing here? It sounds like the opportunity set is quite good, but just curious how those conversations have been evolving this year? Thank you.
Ali Dibadj: Thanks, Mike. So yes, the M&A activity is quite high these days. There was a little bit of a lull, I think I mentioned that a couple quarters ago. And now very much to your point, there is a lot of opportunity that’s out there. Expectations are becoming a little bit more realistic, not everywhere, not for everybody, but certainly we’re seeing some opportunities out there. Now remember, we’re going to be looking at many things, almost everything that comes through. There’s probably not a deal that happens that we don’t at least know about. But we’re going to be very, very disciplined in deciding what we buy, what we perhaps build internally or certainly what we partner with external folks as well. And the reason for that isn’t just to make sure we deliver for our clients, to make sure we deliver for our shoulders as well. It’s very, very important to make sure we are client led in our M&A plan. You’ve heard me say that before. We want to make sure that we diversify where we have the right to win and that’s really going to be client led. So it is robust out there. It’s tough to obviously determine what timing, something will happen. But we are hopeful that something matches what our client needs are and what our abilities are, and so we’ll bring that forward. Now, I don’t want to suggest that M&A in and of itself is a strategy. It most certainly is not. It’s supporting our strategy around the Protect & Grow, Amplify and Diversify. But what’s really important, really exciting is we don’t need M&A to grow. We don’t need M&A over time, right? Again, set this quarter aside, but we don’t need M&A to get to where we want to be in terms of our growth trajectory. That’s because we have great businesses internally. Think of our U.S. equities franchise that we have as an example that has shown externally good performance over short, medium, and long-term. We can build that business and improve that. So M&A is a useful tool to support our strategy, but we have a great set of core businesses we want to expand and grow, and you’re seeing signs of some of that right now.
Mike Brown: Okay, great. And just switching gears to the outlook on the fixed income side for the industry. Clearly we’re seeing flows picking up there. How are you thinking about that opportunity for Janus and how are you positioning the firm to win your fair share of the industry flows?
Ali Dibadj: Sure, I can start and I’ll pass over to Roger for more details. You’re correct. Fixed income is a big topic of conversation with our clients. If you think back historically there are really have always been three reasons why one would invest in fixed income. One is diversification, two is for regulatory or capital charge perspective, purely for insurance company and three is yield. Now for a number of years now, we all know that yield was not one of the drivers of investing. And so now it is and it’s exciting. It’s an exciting time for us that has a very high performing, particularly over the medium and long-term performance measures fixed income business. Our clients are asking us about it and we have a broad suite of products across the board in fixed income to deliver on our clients’ needs, whether it be in a short duration form like JAAA or vanilla ETFs, whether it be in core plus areas like flex bond, developer bonds, even JMBS, which is another ETF that is CMBS, RMBS type or just riskier assets, multi-asset credit, multi-sector income, those types of forms. So we have panoply of products to deliver on our clients’ need in a world where fixed-income is becoming much more relevant and we are very much positioned to deliver that to our clients in our strategy.
Roger Thompson: Yes. I don’t think there’s a lot more to add on that. Ali as you say, it doesn’t seem to be a sort of common thread on where we’re seeing demand from clients, but the great news is that we’ve got products that align with their demand in many areas.
Mike Brown: Okay, great. Thank you for taking my questions.
Operator: Thank you. Our next question comes from the line of Patrick Davitt of Autonomous Research. Your line is now open. Please go ahead.
Patrick Davitt: Good morning, everyone. Ali, I thought your comments on the redemption rate being abnormally low was interesting, which not exactly what we’ve seen from some of your comps. What do you think drove it looking so much lower and then why are you so confident it’s going to get worse again?
Ali Dibadj: Look, it’s a great question. So if you take a step back and disaggregate the quarter and the drivers of what we see it was clearly from a flow perspective, a solid quarter. And you can decide that in a few ways. So some things will be repeatable. Some things we don’t think will be repeatable until we are consistently delivering on everything that we need to deliver for our clients. One of them, as you mentioned, is very much lower outflow rates. We have to just look at our history to see what we’ve been outflowing and you can do that as well as I can. And this quarter was a little bit better. Is it all because of all the great hard work that we’re doing from a business perspective and we have been doing hard work, we have been improving our interactions with our clients. I think you could say that, for sure, there’s some element to that. But one has to admit that there’s some serendipity in that as well, serendipity in terms of timing of inflows, but also serendipity in terms of clients in some ways waiting and seeing. Waiting and seeing what we’re doing from a business perspective and what the new strategy is going to bring. I would say that some of the benefits of the inflows came from clients who were waiting to pull the trigger, waiting to see if the strategy is on track. And I think at least in this quarter, they’ve decided that some folks who are waiting that our strategy is on track and they’re willing to pull the trigger. So look, we’ll see what the go forward suggests. We’re not suggesting that, as I mentioned a moment ago, that one quarter creates a trend, but we’re pleased with the hard work across our firm. We’re pleased with the interactions we have with our clients, the activity levels. We’re seeing some improvement in some of the underlying markets from market share perspective. But it’s going to take some time.
Patrick Davitt: All right, cool. Helpful. And then a broader question. I’m sensing in my conversations over this quarter that Australia’s coming up a little bit more in money in motion, and Australia’s becoming a bigger and bigger opportunity but with a lot more barbell between passive and alts. So I think Janus is kind of uniquely positioned to take part in that. Are you seeing the same thing? What products do you think are best positioned to benefit from that? And then on the other hand, any large back books of AUM there that you think could be at risk from that money in motion? Thank you.
Ali Dibadj: Patrick, yes, we are seeing Australia have money in motion. We want to make sure we capture our fair share of that. We do have both local so to speak, products that are catered to that marketplace. Think about our Australian fixed income business, think about some of our sustainable products that are down there as well and others. We think we can certainly deliver on some of the needs and take advantage of some of that money in motion, and we’re getting some of that money in motion. To be fair, we’re also getting some of those products being exported to very sophisticated clients outside of Australia as well given the strength of the skillsets that we have from an investment perspective in Australia. There’s clearly going to be areas where we’re going to lose out on that as well. We’re going to lose out on folks looking for other things than what we have. But we think the net-net of it is that Australia business is extremely strong. We continue to deliver on what our clients’ needs are and we do see opportunity of money in motion, particularly at our market share in that region.
Operator: Our next question comes from the line of Daniel Fannon of Jefferies. Your line is open. Please go ahead.
Daniel Fannon: Thanks. Good morning. Wanted to follow-up on your comments about exiting some unprofitable AUM and maybe talk about what strategies or what regions that that’s coming from. And then also given the kind of success in the institutional channel of this quarter, and you mentioned lower fee, but if you could put some framework around how to think about some of these mandates in terms of that relative to the overall fee rate.
Ali Dibadj: Sure. Thanks, Dan. So first on the culling, so to speak. Look, we’ve always had an ongoing discipline at Janus Henderson of looking at different mandates, different pieces of the business and getting a sense of whether they’re profitable, whether they’re as efficient as they should be, and looking at that very carefully over the years. I think as you’ve heard from us before, with Fuel for Growth, which is creating fuel to be able to invest back into the client. We want to make sure that we’re even more disciplined on that, even more focused on the ongoing review of profitability and efficiency across the firm for different mandates. We are going to be surgical, we’re going to be deliberate, but we want to call it out as it’s not something that’s insignificant. To your point, does it have a fee rate correlation to it? It might, but it also depends on how much costs to service some of these functions and strategies. So we just want to be mindful of that and call that out for you all.
Roger Thompson: Just to add to that. As you said, the decline is – sorry. As you said, the decline is due to these large fundings from some sophisticated institutional clients into some lower fee products, which is where we are today. Over time, we expect to see that continued success in institutional that will be in a blend of products. And as we see continued growth in our intermediary business over time we’d expect to see our fee rate normalize or stabilize as it has done. And again, I’ll just remind you, over the full year, our fee rate is actually up 0.4 of a basis point from this time last year.
Daniel Fannon: Understood. Thank you. And then, I guess, Roger, just a follow-up or clarification on the guidance for performance fees. Are you assuming the performance is flat from here as you think about the full year guide? Or is there some assumptions of beta or improvement?
Roger Thompson: Yes, we assume relatively flat performance from here. So, yes – so again, performance will be what it’ll be during the year, but that assumes basically flat performance.
Daniel Fannon: Understood. Thank you.
Operator: Thank you. Our next question comes from the line of Craig Siegenthaler of Bank of America Merrill Lynch. Your line is now open. Please go ahead.
Craig Siegenthaler: Good morning, Ali. Congrats on the strong flow quarter. Can you walk us through the plan you’ve developed to build the institutional pipeline? Like what I’m looking for is have you reallocated resources between different client verticals? How are you interacting with consultants differently? Have you tweaked product pricing? And also, which funds or retail funds have you relaunched into the institutional channel?
Ali Dibadj: Hey, Craig, thanks for the question. Yes, so institutional is a big focus of us from a strategic perspective. And we most certainly have changed the way we tackle institutional. The great thing is, and I’ll kind of answer that last part of your question first. We have a great set of products that we can bring to the institutional channel. They’re institutional quality investors. They’re institutional quality performance, processes, long-term track records that we just didn’t take to the institutional channel in a disciplined manner, particularly in North America. And so, seeing that opportunity – seeing that opportunity to amplify those strengths based on our U.S. equities franchise, our fixed income franchise in the U.S. elsewhere around the world looks like an interesting opportunity. Again, not one that turns overnight, you all know the sales cycle and the development of a client relationship cycle takes a while. But it’s certainly something that we’re very focused on and very excited about. And you’ve seen some of the fruits of that labor come through in this quarter. From a more practical perspective, you’re exactly right. So we have reorganized that business, reorganized the regions. We brought in extraordinarily strong new talent to the team over the course of the past, call it roughly a year, people with relationships, people who have been doing this for a while, people who can get us in front of institutions, who – I’ll give you a very clear example. Say, geez, I didn’t know that you had these products in institutional, I didn’t know that you could take these products. I thought of you more of a retail business, almost a direct quote from a client. And we ended up winning that mandate with the institutional client. So you are seeing a lot more of an organizational structure that is conducive to bringing some of our products that we’ve had for a very long time in institutional. You’re seeing that in our activity levels, our activity levels are up quite significantly in institutional. We talked about that actually, I think last quarter or so, and that continues. The word is getting out there. The word is getting out there among our large sophisticated institutional clients and consultant partners that we have something that can deliver our client’s needs and we are starting to deliver that. So again, we are very energized by what we’re seeing so far from the team.
Craig Siegenthaler: Thanks, Ali. And just as my follow-up, how are you viewing the dividend now? I know you’re covering the dividend, but dividend coverage is on the low side as the market declined last year. And this is somewhat impacting your ability to build excess capital, which I think you want to do, and opportunistically buyback stock when it’s low.
Roger Thompson: Do you want me to start on that one, Ali?
Ali Dibadj: Sure.
Roger Thompson: Yep. So as you say, I mean, our dividend is full and well covered. Dividend yield is strong. Our dividend methodology or our capital methodology is unchanged. We have a hierarchy of needs which is to ensure that we have the regulatory and working capital that we need, that we then invest in the business both organically and inorganically. And should we not have a better use of capital, we’ll return it to shareholders. And as you say, we’ve successfully had both a strong dividend and a buyback over the last few years. As we stand here today the dividend, as I say, remains well covered, but we’re seeing some opportunities in what Ali’s been talking about, both in terms of organically and inorganically investing in the business. And also particularly given the volatility in the markets, we are very happy with the dividend as it stands. And as I said, have not put forward for a buyback for this year. But should those things not come about in terms of that investment needs then we would obviously be looking to return cash in that consistent manner.
Craig Siegenthaler: Thanks, Roger.
Operator: Thank you. Our next question comes from the line of Nigel Pittaway of Citigroup. Your line is now open. Please go ahead.
Nigel Pittaway: Great. Thanks for taking my questions. Just first of all, on the LTI expense, I hear what you’re saying about and its usual obviously about the first quarter having that taxing loss. But it does sort of strike me at a round about a third of what you’re expecting the full year expense to be, it is relatively high. Is there any particular reason for that?
Roger Thompson: Both Q4 and Q1, Nigel includes some mark-to-market as obviously if the market has arisen. So the full year number, which we’ve given you in the appendix assumes flat markets from here. But other than that, yes, it is just the calendarization of that first quarter. So it was four more – there’s about $4 million of mark-to-market in the first quarter as well.
Nigel Pittaway: All right. Okay. Thanks. And then maybe just coming back to one of the previous questions just on performance fees, I mean, previously you said that you do have a number of funds at or above their high watermarks. So it seems as if you’re not allowing for much in terms of performance fees over and above, the negative drag from the fulcrum fees. I mean, do you think you’ve been sort of cons – is that a sort of conservative assessment that the guidance you’ve provided today on full year performance fees or do you think – how should we view that?
Roger Thompson: I’ll tell you what – yes, as I said, things can go either way. We saw some very strong things come through late in the second quarter – in the second half of last year in terms of performance fees, where our excellent investment teams delivered some very strong performance. And obviously that can happen. But we have significant AUM in performance fees in the second quarter, particularly in the CCAP range and the absolute return strategy in the UK. But most performance there is sort of at or around benchmark and high water markets at the moment. So no, we’re not currently anticipating that based on current performance. There’s only a couple of months to go, so it would be a pleasant surprise. But I think it’s the correct answer to assume relatively low performance fees from those – in Q2. Obviously, Q3 is then a relatively quiet period, and then we have some performance fees that come due in the fourth quarter. Obviously that’s a little bit further away and we’ll update in future quarters.
Nigel Pittaway: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Andrei Stadnik of Morgan Stanley. Your line is now open. Please go ahead.
Andrei Stadnik: Thank you for taking my questions. Can I ask firstly around the timing of the institutional flows? Did they come early or late in the quarter? Just in terms of helping us to think about the base management impact?
Roger Thompson: They were blended through the quarter, really. Sorry, Ali.
Ali Dibadj: No, I was going to say the same thing. They were several of them. They came throughout the quarter. I don’t know if that helps you.
Roger Thompson: Probably – thinking about it probably a little bit earlier. There’s probably more in – there was more in January. So that does make that performance – that fee impact through the quarter.
Andrei Stadnik: Thank you. And my other question was around how long were you in discussion for with the various managers that you ended up winning? Were they fairly recent? Or were you talking some of them half a year or even longer? Like how long were they in the pipeline for?
Ali Dibadj: It varies when you look at what’s come in. I think if you want to disaggregate it more broadly there was certainly a certain amount of serendipity of things falling into the same quarter. There’s no question. But there were folks who were new and funded relatively early and we could from operational perspective get some improvements that we’ve done certainly fulfill that for them. There was a subset exactly as you described, Andre that were as I mentioned a little while ago, wait and see. They saw and they didn’t wait, and so they pulled the trigger, so to speak, to trust us with their capital. So I’m not sure there’s a perfect answer to this. Generally speaking, these things are – I don’t know call it nine months in the making typically in terms of when you actually hear to when you actually go through in the funding. But some of these relationships are 3, 4, 10 years old. So there’s not a great answer to that question. These were a mix of all.
Andrei Stadnik: Thank you.
Operator: Thank you. Our next question comes from the line of Alex Blostein of Goldman Sachs. Your line is now open. Please go ahead.
Alex Blostein: Great. Thanks. Good morning, everybody. Ali, a little bit of a strategic question for you. So when you guys talk about buy, build a partner it sounds like the activity rates on the buy side is picking up. But if you were to think about over the next kind of 12 to 24 months, which one of these areas are you likely to be most active in? And I think we can all kind of picture what buy looks like, but when you’re talking about build a partner, what are some of the key areas that you’re looking to do that in?
Ali Dibadj: Sure. Thanks for the question, Alex. So look, first and foremost, our priority is to grow the business that we have. That’s what the Protect & Grow and Amplify legs of our strategy are all about. We talked about institutional, we talked about some of the improvements in U.S. intermediary, et cetera. And then of course, yes, you’re right, there’s a diversified piece, which is the buy, build or partner. Look, I would argue that the build and particularly the partner areas are looking relatively fruitful. And an example of kind of a combination of a buy or build is what we do with our emerging market debt team. I remember we brought them on board in September. They had zero assets, so it was kind of acquihire, so to speak. And then we’re close to over $1.5 billion, almost $2 billion of committed capital to that. So that’s an example of the type of thing we could do that sort of melds the buy and the build. And there’s some really interesting opportunities to partner as well. I think our strengths are very, very clearly that we have a phenomenal client base and world class investment acumen, and we can marry that to deliver on our client needs in a partnership form as well, which could be quite interesting.
Alex Blostein: Got it. Okay. And then a clarification question on the institutional pipeline. When you guys are talking about rebuilding it given strong fundings this quarter, can you help quantify where the institutional pipeline of unfunded mandate stands today and the composition pipeline?
Ali Dibadj: So we don’t actually talk about the pipeline historically at Janus Henderson. What I will say is that, I guess three things. One is, there are many things in the pipeline and as I mentioned in an answer to another question, we’re all very enthusiastic about the team that’s there and the activity levels that are there, bringing our best-in-class investment strategies to the clients. That being said, it’s going to take time, especially as certain amount of clients who are waiting, did pull the trigger this quarter, as you saw in Q1, as you saw. And it’s going to take a little bit of time to rebuild that. But there’s a lot of interest, whether it be in kind of global or international businesses that we have, in emerging market debt, as I mentioned a second ago, in alternatives and fixed income. We have a real great pallet to offer our client base there. So we’re excited about the opportunity in institutional to continue over time.
Alex Blostein: All right, great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Ken Worthington of JPMorgan. Your line is now open. Please go ahead.
Ken Worthington: Hi. Good morning. Thanks for taking the questions. Maybe first you’re having improved success, excuse me, in your ETF business, particularly fixed income ETFs. Are you seeing success on particular platforms? And if so, why? And then what are you doing from a marketing perspective here to sort of continue and broaden the success that you’re having?
Ali Dibadj: Thanks for the question, Ken. There’s no particular platform that I’d say that that are disproportionately driving some of those flows. What really comes down to is we have marriage of a really unique set of investment capabilities around the securitized world in particular, whether it JAAA, whether it be JMBS, others, vanilla. And then matching that to our client needs, particularly in an environment on the short-term duration side for most of the needs here in this fixed income environment. And so it's a great marriage that we can deliver through a partnership through our U.S. intermediary platform partners in particular. On the marketing side, Look, there are a few things, right. So number one, and I'll mention this more in a second, we are doing the broader brand marketing, which we'll get to. But from ETF perspective, a lot of it is about education, so to speak, right, Education in an environment where yields are where they are and the uncertainty is where it is, we have the opportunity to bring, again, these clients through our U.S. intermediary partners. The opportunity to invest in these types of products, which are quite unique to us and so it's a lot of education. Now that being said, going to the first point, we have spent time on marketing. It's again something that's a little bit different than we used to do in the past, as you heard in kind of our earlier more prepared remarks. And what we found from the data perspective is that Janus Henderson has a great amount of brand recognition. But we have to get into a little bit more of the consideration set for decisions made by advisers and partners that we have, either consultants or institutional or U.S. intermediary partners. And part of what we're trying to do with this marketing view is, gosh, we have something to say now. We have something to say. We are a great firm. We have differentiated insights. We have disciplined investments. We have world-class service and we want to – as our purpose statement says invest in a brighter future together. And the data suggests that if we get that in front of folks, the consideration set becomes broader for our client base, brand actually does matters what the data would suggest. And the last thing is we're doing this to be fair as a little bit of an experiment. We have analytics behind what we're doing from a marketing perspective to try to get a best sense of what the ROI is, how we're going to use it, where we're going to use it, what products to your point are going to be benefited by some of these brand marketing. And so we're going to iterate and test and learn on that in a rather sophisticated manner actually going forward.
Ken Worthington: Great. Thank you. And then institutional win rate increase this quarter, how does the fee rate on the one business this quarter kind of compare to your overall institutional fee rate? Is this business coming in at sort of like similar? Is it higher? Is it lower? Is price a factor in sort of winning business? Just wanted to throw that out.
Roger Thompson: Yes, it's a great question. So as we said I was going to say, as we said, there were some very strong mandate wins this quarter from sophisticated institutional clients. which were in areas of lower fee products, particularly around enhanced index. So that is what's just come through the pipeline this quarter. That is what has brought the fee rate down a little bit this quarter as I said, that broad pipeline Ali's been talking about what we've been building the persistency and that is what we've got to build out. That's a blend of product. So our alternatives – our liquid alts business is a mix of a multi-strategy business and an enhanced index business. This quarter, we saw some very sizable flows coming in enhanced index, but multi-strat is an area where we've seen and we've talked about this previously. Where we've seen and are seeing a lot of client and consultant interest around the world and that obviously is a higher fee business. And we've got a range of things in that pipeline. But this quarter, yes, there was a range of enhanced index and fixed income product from, as I say, from larger clients in the institutional space at Lower P. So it's the lower – than our institutional rate?
Ali Dibadj: Roger said it well, Ken.
Ken Worthington: Yes. I hear that. What was really after is, like I hear the mix and you got high fee products and low fee. But did you have to – or are you using price to win business? Is that part of the strategy was the – were the products priced the right way before or maybe they weren't priced the right way before and you're using price as an adjustment. I wondered if you could just maybe take the conversation beyond just the mix.
Ali Dibadj: Absolutely not, Ken. So I appreciate now I understand what you're trying to get at. No, there is no new or different apples-to-apples fee pressures at all. It's all based on mix. Does the natural mix effect, as you mentioned, of ebb and flow between channels in particular and that showed up in the quarter over time, we should continue to expect that our fee rate will be flat to going up. And if you were to look at the fee rate over a longer period of time, Q4 had a little bit more, I guess, ebb than flow in some of these lower fee rate mandates and this quarter had a little bit more flow than ebb, so to speak, on some of the channels that drove the fee differential. So to answer your question very directly, pricing is not part of our strategy to get more business.
Ken Worthington: Awesome, thank you.
Operator: Thank you. Our next question comes from the line of Brian Bedell of Deutsche Bank. Your line is open. Please go ahead.
Brian Bedell: Great. Thanks. Good morning. Thanks for taking my questions. Maybe just back on the institutional side, a different set of questions, but as you're marketing to the institutions, do you see them shifting money from other either asset classes or rather is it switching from other managers in terms of your success and the role of consultants also in the channel versus your direct effort? And then I guess, sort of more broadly, given the enhanced or the improved traction in the institutional channel versus the AUM that you do intend to exit that obviously is less profitable and lower fee. But should we be thinking of this as sort of a net growth avenue on the institutional side, even considering the calling of some of those unprofitable mandates.
Ali Dibadj: Thanks for the question, Brian. So let me disaggregate that into three areas. One is first, what's happening from our client base and what are they looking at. I think one of the most important themes that our clients are thinking through right now is this view that the past 10 years were externally easy to just ride the wave, particularly based in kind of pure passive mandates and deliver pretty good performance. On a go-forward basis, all of our more sophisticated clients and I'm sure others of our competitors as well are saying, gosh, we need to figure out how to create alpha out of the haves and have not. And whatever we invest in, whether it be equities, whether it be fixed income, whether it be some alternative areas, how do we accentuate the alpha creation between the haves and have nots. The good news for us is that, that's what we do all day at Janus Henderson. That's why we have 340 people in our investment teams to pick the have and have nots. Perhaps less relevant over the past few years where money was free, but increasingly relevant among our clients and the broader asset management industry going forward. So we're very, very clearly seeing, to answer your question very specifically, a shift from many clients who were relegating a lot of their assets to passive to actually coming back to folks like us, and I'm sure some others but folks like us to get into the differentiation of haves and have nots. Some of that is manifested through things like a product we have called enhanced index, it's kind of a passive underlying or index underlying and then it's an alternative overlay onto that effectively, which has been very successful for a number of years. That's kind of dipping the toe in the water. And then we have folks who are going even further, whether it be in fixed income, whether it be equities, whether it be in other places of our business and realizing that the go-forward is not going to be the same most likely from a market performance perspective versus the go behind. So that one of the major first topics, I just want to raise that very important question, Brian. The second thing is you mentioned consultants. It's a little bit of an answer to the question that Craig asked earlier as well. we didn't really have a concerted consultant servicing and partnership effort at the firm until relatively recently. We didn't have a global Head of Consultants. We do. We didn't have a long-tenured North America Head of consultants. We have a great one. And so partnership with consultants is an extremely important thing for us. It's important because it delivers better results for our clients. And so that's exactly a place that we are focused on, and those relationships don't turn overnight, obviously. But over time, they do, and we're seeing some of the fruits of that labor already start to play out. Your last question, if I kind of parse through it, it's tough to tell what our flows are going to be, obviously, for the quarter. We're pleased by the results on the institutional side of things. There will continue to be ebbs and flows, as Roger said earlier, and it was brought up in a question as well. I would say that the outflows were lower than one would see from a run rate perspective from us. And I'd rethink what the go forward should be to be more like a historical outflow level as well. And we're watching and trying to service our clients as best as we can. And the proof will be in the pudding over time, again, not overnight, but over time, in terms of delivering for our clients' needs.
Brian Bedell: Okay. Great. And then just quickly on the adviser side, this has been asked and a little bit of a different question. Are you gaining more traction, do you think within the individual advisers at the firm? Or is the future growth is more about onboarding either to new platforms or adding products onto those platforms. And then on the branding campaign, I imagine it's targeted broadly, but is there a retail component to that as well. So such that retail investors would say they would gain brand recognition of Janus and they may be asking for Janus product as a result of the branding.
Ali Dibadj: So, I guess, yes, let me tackle those. So first, it's both. We have very broad reach to many U.S. intermediary clients, for example, or global intermediary clients. but they typically don't have many of our products on their platform. We're known for a few things. Most importantly, however, we're known to be a trusted partner. We are known to have great investment acumen and that very much opens the door for us to step into product number two and number three and hopefully beyond. And that's something that the team is very focused on and has had good success in doing that. But it also is that we don't have as broader reach as we could across the adviser base. So it really is a driver of both of those. And I'd like to think that over time, we can gain share through both of those vectors of growth. And I will say here that the U.S. intermediary team as an example, where we've made some changes, some personnel changes, is really showing some signs of improvement on both of those dimensions, which we should be very proud of and shareholders should be grateful for. The second thing to your point from a marketing perspective, yes, absolutely. Look, we are, as I mentioned, experimenting. This is a little bit of a petri dish, and we're measuring everything. For those of you who know me know that I do that, we're measuring everything, and we're seeing how we do test and learn and get a better understanding of where absolutely adviser sees us and says, hey, I recognize that name. It sounds like they have something to say, let me actually pick up the phone or respond to an e-mail that I received or take that one-on-one meeting with investor or a salesperson. And in fact, Brian, we're seeing that play out. We're seeing that happen. There are clear anecdotal at this point, examples of that, and we think we can continue to do that. Again, we're going to test the ROI. We're not a pure B2C company but we certainly think that there's opportunity to create a reminder of our brand in people's minds, both intermediary and institutional.
Brian Bedell: That’s great. That sounds very encouraging. Great, thank you.
Operator: Thank you. Our next question comes from the line of Ed Henning of CLSA. Your line is now open. Please go ahead.
Ed Henning: Thank you for taking my questions. Just the first one, just to clarify, did you expect, did you say you only expect one to two quarters of positive flows over the next two years? And in that, can you just highlight where you think the biggest headwinds on the flows will be for your business over the next two years?
Ali Dibadj: Sure. So our guidance hasn't changed. We've given an indication that we would expect the hard work that we're doing from a strategic perspective, whether that be the market that we talked about before, whether it be the personnel changes and continue to build a world-class team, whether that be the reorg that we've done to make decisions faster, whether it be the strategies that we played in Protect & Grow, Amplify and Diversify, et cetera, we believe to show traction or prove that that is showing traction, the strategies showing traction would be one to two quarters of positive flows over the next, yes, one to two years. Now we just had one. And we still think we can get one to two quarters, including this one over the next one to two years. It takes time, as you all know, as students of this industry to really get to consistently, positively flowing businesses in this industry. Now, that ties to your second question, which is, if you look at the growth rate for this industry it's not a rapidly growing business. And so the major headwind to be fair, is the underlying growth rate from a net flows perspective in this industry. We are overcoming our self-created headwinds. Again, that will take time, but we continue to face the headwinds of the industry from a net flow perspective, at least on the active asset management side. Hopefully that helps, Ed.
Ed Henning: Yes. And do you expect to still see outflows in equities and potentially inflows in fixed income? Like how are you seeing this broad outflows from actively managed money still into ETFs or into private equity or rather asset classes as a headwind for you and the industry that is?
Ali Dibadj: Well, from an industry perspective, as I mentioned a second ago, I do believe, we do believe that the go forward methodology of delivering capital to our clients and our clients' clients delivering performance to our clients or clients' clients will not be the same as it has been over the past 10 years because money won't be free, going forward, i.e. haves and have nots, differentiation will be much more important. Does that suggest that there's a wholesale shift from passive to active? Gosh, I would certainly hope so. I do think that our most sophisticated clients, which is usually the kind of leading indicator are looking at that question very acutely and beneficial to us. They're entrusting us with that point of view haves and have nots. They're entrusting us with the brighter futures of their client base.
Roger Thompson: I think to add to that Ed, we've talked a lot about institutional. I think another thing to make sure that you are aware of is the improvement in the U.S. intermediary business that Ali's talked about some of the things that are coming further to that in terms of the brand campaign, et cetera. But some of the biggest improvements in U.S. intermediary were actually in equity. And we've talked over the last year probably about the significant improvement in the performance of mid-cap growth, which had some fantastic long-term numbers but had a tough 2020, beginning of 2021, had a fantastic 2022 and flows take a little bit of time to recover. But in Q1 we saw that happening in our U.S. advisory business, we saw a dramatic turnaround in enterprise, which is that mid-cap growth strategy as well as improvements in overseas and global equity income. So we are seeing some strong flows into equity.
Ed Henning: Okay. No, that's helpful. But then just to go back on it, where do you see the outflows? Is it just across the business and across just industry trends? Before it's just not getting the gross inflow, so you've got natural outflows that they're going to drive for the next couple of years?
Ali Dibadj: Look, I think we are looking to stem the tide of the industry trends, which overall have not been externally fast growing business.
Operator: Our next question comes from the line of Bill Katz of Credit Suisse. Your line is now open. Please go ahead.
Bill Katz: Thank you so much. Good morning and good afternoon, everyone. Just coming back to expenses for a moment as you think through your initiatives to reposition the platform across your three initiatives, where are you in terms of that spending cycle? Is that something that you would expect to complete this year or would you expect that spending pace to continue into next year? And then if so, how might you fund that?
Roger Thompson: Yes, so it's a good question. Thanks, Bill. I think first of all, as I've said, and hopefully I've been clear that our expenses, particularly in non-comp, are low in Q1. And the guidance we've given of an increase of mid to high single-digits year-on-year still stands which means we'll accelerate in quarters Q2 to Q4. And that's because we've realized what we called our fuel for growth savings, where we've looked to be more efficient in our business, the $40 million to $45 million of cost savings that we talked about in the summer of last year. We've realized much of that and that's a little bit ahead of where we've been investing in these strategic initiatives. As Ali said, this important brand campaign actually kicked off in April. So you'll see that acceleration coming through in Q2 to Q4, I think your broader question is, are we then done. We will look to continue to fund through efficiency. So if we see – continue to see – and as Ali said, we're testing and learning through this. So if we are looking to spend more money, it's because we're seeing success. So I think we're making the investments this year, if we see success in that then we can continue to invest. Otherwise, we're probably – we're at a good level as where we are. But there are other things out there as well. It's inflationary environment, as we all know, the dollar has come up extremely strong highs. So we're seeing some cost acceleration elsewhere, but that's all built into that guidance.
Bill Katz: Okay. Thank you. And then, Ali, maybe one for yourself. Just you mentioned a couple of times throughout the call in the Q&A that the M&A pipeline sort of seasoning nicely. If you were to sort of think about maybe two or three key areas of focus for you to complement your existing book of business, what might that be? And then how should we be thinking about sizing or maybe seizing of that specific line of portfolio – pipeline, excuse me. Thank you.
Ali Dibadj: Sure. Thanks, Bill. So our view on M&A hasn't really changed. I'll answer the back half of your question before the front half. Our view on M&A is that acquiring things that our clients want from us is a good game plan. What generally that means is that clients don't look for us necessarily to just have scale of size, right, just being bigger in something, buying things that overlap with things that we already have doesn't generally serve the purpose of what a client wants. We already have it. It's already very good. We can deliver that to the client with our world-class client service and investment acumen. However, if it's something that we don't have, something that clients want from us, we can acquire to build our scale of skill. The emerging market debt example is a great example and a test case for us on that front. So we're not looking to get bigger for the sake of getting bigger. We're looking to get bigger because we can bring more skill sets to our clients to build off of the very strong foundation that we already have, which we are very, very positive on and can continue to improve. Now if you think about where clients are giving us the right to diversify, it's very clearly around a few areas, most importantly, under the private rubric. So take private credit, for example. From a private credit perspective, there are many different flavors, obviously, private credit. We're being very judicious given this market environment about what we should and could do for our clients. But they're seeing us from a fixed income perspective, having a very, very good franchise underlying what we do in fixed income from a performance and process and people perspective. What can we augment that in the private world where a lot of our clients are looking at. So we are very clear looking at that. And the benefit would be to buy or partner with a group of folks who want to grow their business, not just to tick the box, but grow their business and really fit into our extraordinarily robust and an increasingly strong distribution pipes, so to speak, to deliver on our clients. So it's one of the big areas of an example that we've talked about before, but there are other possibilities, right.  We are unlikely, for example, to go into the pure kind of private equity world on the flip side of private. But could there be ways that we participate in that growth cycle over time, we could. We have to think about other and creative ways to buy and partner as well as built internally. But the main focus right now, Bill is around the broader private landscape for us. Thank you.
Bill Katz: Thank you for taking the questions.
Operator: Thank you. Our final question of today comes from the line of John Dunn of Evercore. Your line is now open. Please go ahead.
John Dunn: Thank you. Maybe just a quick one on ETFs. Is there an outlook for maybe more launches given how well AAA and MBS have gone? And then maybe outside ETFs, any other launches on the horizon you would highlight?
Ali Dibadj: Sure. Let me start there. On ETFs, as you know, at over $6 billion of AUM within ETFs in a relatively short period of time. We are very pleased with the success there and expect continued success in that area. Our philosophy is, again, I'll be a broken record on this, but it's really important to be client-led. So if we have a set of investment skill sets that can be utilized to the benefit of our clients, and if the client wants it in form X versus form Y, sometimes I call it if they want it in pink or if they wanted in yellow, we should be able to deliver it in pink or any yellow. And ETF is one of those wrappers vehicles that we can provide to our clients, in particular, our clients right now, just portionally in the retail world, get access to things that they can't get otherwise. These are institutional level products that we're bringing to the retail environment, similar to what we're doing from a retail set of products that are institutional level that we're bringing to institutional. In ETFs, the broader scope of it is around some of the securitized skill sets that we have internally in our fixed income landscape and bringing that to our client base. Have we filled out the suite? No, we haven't filled out the suite that we could fill out, but we're seeing a lot of success and a lot of focus on the ETFs that we have right now. So I would anticipate more launches there, building on the success that the team here has built. Will there be new launches otherwise outside ETFs to the second part of your question, the short answer is yes. We have to be innovative in what we deliver. We did launch, I believe, two new products in Q1 around the world. We'll continue to drive new products. But again, we're not throwing spaghetti sticks at the wall and see seeing what happens. And we're going to be very disciplined, very diligent with the capital and the effort that's required to do that because we have a great foundation of businesses already investment processes and acumen already that we can already expand and bring to our client base. So yes, there will be more – we'll be judicious in delivering to our clients' needs based on the foundation that we already have.
John Dunn: Got it. And then just maybe regionally, you mentioned a pickup in U.S. intermediary, maybe a little more muted in European retail. Can you just frame Asia channel-wise maybe outside of Australia?
Ali Dibadj: I'd say relatively steady in that marketplace. There's a little bit of a wait and see from a geopolitical perspective that we hear from our clients out there. I don't think there's massive money in motion at this point. But we are, again, in the desire of growing our business, we are very much looking to deliver for clients in those regions. We see an enormous amount of opportunity, which will come over time, again, but market share for us is going to be part of the name of the game in that marketplace.
John Dunn: Thanks very much.
Operator: Thank you. As there are no additional questions waiting at this time. I'd like to hand the conference back over to Mr. Dibadj for closing remarks.
Ali Dibadj: Well, thanks, Candice. Thanks everybody for joining. Hopefully, this quarter's results suggest that the team here Janus Henderson, who I'd like to thank is working extremely hard, aligned with our strategy, making changes to deliver for our clients, our shareholders and our other stakeholders. And over time, we'll continue to deliver progress like this. Thanks very much, everybody.
Operator: Ladies and gentlemen, this concludes the Janus Henderson first quarter 2023 results briefing. Have a great day ahead. You may now disconnect your lines.